Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 BBCN Bancorp Earnings Conference Call. My name is Karma, and I'll be your coordinator for today. [Operator Instructions] I would now like to turn the call over to your host for today, Ms. Angie Yang, Senior Vice President, Investor Relations. 
Angie Yang: Thank you, Karma. Good morning, everyone. Thank you for joining us for the BBCN Bancorp 2011 Fourth Quarter Investor Conference Call. 
 Before we begin, I'd like to make a brief statement regarding forward-looking remarks. The call today may contain forward-looking projections regarding future events and the future financial performance of the company. We wish to caution you that such statements are just predictions, and actual results may differ materially as a result of risks and uncertainties that pertain to the company's business. 
 We refer you to the documents the company files periodically with the SEC, specifically the company's most recent 10-Q and Annual Report on Form 10-K, as well as the Safe Harbor statement in the press release issued yesterday. These documents contain important risk factors that could cause actual results to differ materially from the forward-looking statements. BBCN assumes no obligation to revise any forward-looking projections that may be made on today's call. 
 The financial results for the 2011 fourth quarter reflects a further refinement of this estimated fair value calculations and accounting adjustments required under the acquisition method of accounting. The company cautions that complete financial results to be included in the Annual Report on Form 10-K for the year ended December 31, 2011, could differ materially from the financial results being reported today, pending the finalization of the acquisition accounting adjustments. 
 Now, we have allotted one hour for this call. BBCN's President and CEO, Alvin Kang, will begin today with an overview of the quarter, and our Chief Financial Officer, Phil Guldeman, will discuss financial results in more detail. Then Al will wrap up our presentation with closing remarks before we begin the question and answer session. Also joining us this morning from management are Bonnie Lee, Chief Operating Officer; Mark Lee, Chief Credit Officer; and Doug Goddard, our Deputy Chief Financial Officer. 
 With that, I'd like to turn the call over to Al Kang. Al? 
Alvin Kang: Thank you, Angie. Good morning, and thank you for joining us for our first conference call as the new BBCN Bancorp. I am going to start today's call by providing an overview of the quarter, and then Phil will walk through our financial results in more detail. Clearly, this was an exciting quarter for us that brought about the completion of a merger between NARA and Center that was almost a year in the making. 
 BBCN Bancorp stands today as the largest Korean American bank in the country by a wide margin, and the positive response we have received from the communities we serve has been very rewarding to see. From announcement to closing, we had a lot of time to be thorough in our integration planning, and we hit the ground running on December 1 under the new banner of BBCN Bank. 
 Our new name is symbolic of the roots of the 2 organizations that came together to form the new company and our long partnership with the growing businesses from the communities that we serve. Looking at our logo, you may have noticed the blue "C" representing Center is interlocked with the red "N" representing NARA. The logo as a whole is symbolic of the complementary and synergistic merger of the 2 banks and represents our collective experience and leadership. 
 Our combined bank's strategic plan includes 4 major initiatives: First, post integration -- post merger integration. We understand that a successful integration is critical to the success of BBCN. Underscoring our focus on ensuring a seamless systems conversion with minimal customer impact, we created a new position of Chief information Officer and brought in an expert in this field. Second, while BBCN is now the largest Korean American bank in the nation, we will also strive to set a new standard for relationship banking. Third, we will continue to seek market expansions through both organic and acquisitive opportunities. Additionally, with our national footprint, we will focus on expanding our SBA operations across the country. 
 And our fourth initiative is to have a laser focus on enterprise management. As we move forward with our strategic objectives, we want to ensure that our risk management, our IT technology and the depth and skill base of our employees are all on par to support our targeted financial goals. In terms of key integration items scheduled for later this year, our IT systems conversion is on schedule for May 2012, after which we will consolidate the branches previously announced as part of the consolidation plan. We will also then consolidate our headquarters into one location. 
 As we complete these steps, we will start to realize more of the cost savings projected for the merger. Over the next 2 years, we expect the total cost savings to reach approximately $11.2 million. While revenue synergies are difficult to project, we definitely believe that the additional scale, convenience and brand recognition that we have as the largest Korean American bank will help us capture additional market share. We plan to be aggressive in pursuing new business relationships in what we see as an expanded potential market of customers, whether you look at it from their perspective of customer size, customer location or customer ethnicity. 
 While we certainly had our hands full completing our capital raise, closing the merger and starting the integration process in the fourth quarter, we are very pleased that the organization did not get distracted from our primary day to day responsibilities, that being customer service and continually developing new business relationships. The strongest evidence of this is the solid loan production we had during the quarter. Our total loan originations in the fourth quarter were $157 million when you only count Center Bank's December loan production. 
 If you also count their October and November production on a combined pro forma basis, the total increases to $199 million. Of the $157 million, approximately 75% of the new originations were in commercial real estate, with 25% in C&I lending. Our SBA loan production was also strong in the quarter, totaling $33 million when you only count the December loan production from Center. If you count Center's October and November production as well, then the total increases to slightly more than $51 million on a pro forma combined basis. 
 I should note that our SBA loan production figures include all prices of SBA loans while only the 7(a) and Express loans are typically sold into the secondary markets. Our production of 7(a) and Express loans were $17.6 million for the quarter or $27.8 million on a pro forma combined basis. So to use a sports analogy with the new year, BBCN Bank really has the mojo, that is the momentum, and that should only improve as more time with -- as we have more time to leverage our combined strengths. 
 With that I'll turn the call over to Phil. Phil? 
Philip Guldeman: Thank you, Al. Let me start by saying 2 things up front. First, as mentioned in the opening statement, the numbers we're going to share with you are based on estimates that are subject to change up to the issuance of our Form 10-K. This is more true now than normal because of the magnitude and complexity of the fair market value estimates used to create those projections. Second, the impact of the merger makes a prior period comparison somewhat difficult and in some cases actually meaningless. 
 So we aren't going to spend much time on today's call discussing the differences between our fourth quarter results and prior quarter or prior year. Instead, we'll do our best to give you a sense of how our operations performed in the fourth quarter and provide some estimates for the run rate of key metrics going forward. 
 Our results for the fourth quarter of 2011 reflect 2 months of standalone operations of the former NARA Bank and one month of combined operations following the completion of the merger. We generated net income of $2.9 million or $0.05 per diluted share. Our fourth quarter results were impacted by 3 particularly large items. First, we recorded a $6.4 million charge on the prepayment of FHLB advances as part of a post merger balance sheet restructuring strategy. Second, we had $3.2 million in merger-related expenses. And third, we had $1.9 million in post-merger provision expense for the acquired Center Bank portfolio, which I'll discuss further in a couple of minutes. 
 Collectively, these 3 items reduced our pre-tax income in the fourth quarter by $11.9 million. I should mention that the FHLB prepayment penalty has been reclassified since the preliminary press release from non-interest income to non-interest expense. As you may know, under acquisition accounting, Center's balance sheet was marked to fair value as of the November 30 acquisition date. The mark on the loan portfolio came in better than we expected, requiring a discount to fair value of just $95.8 million or 6.1% of gross loans acquired. After eliminating the $39.9 million that Center had in allowance for loan losses at the acquisition date, we wrote down the acquired Center loan portfolio by $55.9 million to get to the fair mark value mark. 
 A portion of the discount on the loan portfolio will be accreted into interest income overtime. Other significant acquisition accounting adjustments on Center's balance sheet include a $6.7 million reduction in the FDIC loss share receivable, a $6.4 million reduction in the value of certificates of deposit and the positive impact of $27.4 million resulting from the deferred tax effects of all of the acquisition accounting adjustments. 
 In addition, our initial estimate of the amount of goodwill generated by the merger is approximately $92 million. To expand on the post merger balance sheet restructuring a bit, you may recall from our third quarter conference call that we indicated that some restructuring was a possibility after we analyzed the combined bank's cash and securities positions. Following this analysis, we determined that it was in our best interest to reposition certain assets and liabilities. 
 We prepaid $71 million in FHLB advances and recorded an early debt retirement charge of $6.4 million. We also sold available-for-investment securities with an aggregate book value of $138.2 million at a gain of $1.2 million, or just under 1%. We then purchased replacement securities with an aggregate book value of $108.9 million. Looking at the transaction by itself, the securities transactions will have the effects of increasing interest income by approximately $750,000 in 2012 and only modestly increasing the overall portfolio duration. 
 I am going to start on the income statement with our net interest income. We generated $40.6 million in net interest income in the fourth quarter. This includes approximately $2.5 million of loan interest income resulting from the December accretion of the acquisition accounting discount on Center's loan portfolio. For the first quarter of 2012, we estimate that net interest income could range from $50 million to $55 million. Although, the variability in net interest income is significantly greater than normal due to the accretion that's now component of our interest income. 
 Our net interest margin was 4.52% in the fourth quarter, which was significantly impacted in the positive way by the effects of the acquisition accounting and the loan discount accretion. Rather than going through all the various changes that occurred in the fourth quarter, I think the most meaningful data that we can provide would be the spot rates of our major assets and liabilities as of December 31, 2011. The yield on our loan portfolio including loan discount accretion from the transaction was 6.22%. The yield on our loan portfolio excluding the loan discount accretion was 5.69%. So you can see the impact of the accretion aspect. 
 The yield on our securities portfolio was 2.83%. The cost of deposits was 72 basis points. The cost of funds was 86 basis , and our cost of FHLB advances including fair market value adjustments was 193 basis points. As always, our spot rate reports do not take into consideration the normal discount of deferred loan origination fees into income, so the actual results may be slightly higher than those for loan and net interest margin. 
 Looking into the first quarter, we would expect that our net interest margin would be flat to slightly higher, principally as a result of the benefits of purchase accounting accretion offset to some extent by the pricing pressures in the current rate environment. Our non-interest income was $6.7 million in the fourth quarter. This included net gains on the sale of securities of $1.2 million. We also recognized the gain of $1 million on the sale of SBA loans during in the fourth quarter. We sold $14.3 million of SBA loans during that quarter, and at the end of the year, we had $18 million in SBA loans in our held-for-sale portfolio. 
 At the time of the merger date, all of Center's SBA loans were marked up to fair value, which eliminated the opportunity to sell these loans in the secondary market out of gain. Accordingly, we transferred $84 million of SBA loans from Center into our "loans held for investment" portfolio. Our non-interest expense was $31.8 million in the fourth quarter, which included higher costs associated with the combined operations, the $6.4 million prepayment charge related to the early retirement on FHLB advances and $3.2 million in merger-related expenses. 
 We have incurred an aggregate of $9.3 million merger-related expenses through the end of 2011 and anticipate incurring approximately $4 million to $5 million in expenses substantially in the first half of 2012 as we complete the systems integration, the branch closings and other integration tasks. For the first quarter of 2012, we would expect non-interest expense to be in the range of $31 million to $33 million. Moving to our balance sheet, our gross loans were $3.74 billion at December 31, 2011. CRE loans now comprise close to 71% of our loan portfolio, and C&I loans comprise approximately 26%. 
 We plan to continue our focus on commercial lending to achieve a more balanced portfolio. Our total deposits were $3.94 billion at December 31, 2011. Following the merger, we intentionally ran off some of our higher-rate time deposits. As a result of this and held by the combination of former Center's deposits, our non-interest bearing deposits now represents 25% of our total deposit base. 
 I'll now move onto a discussion of asset quality. As I indicated earlier, as part of the merger accounting, Center's loan portfolio was marked to fair value as of November 30. The allowance for loan losses that was on their books was eliminated, and all of their booked loans were placed on accrual status within the BBCN portfolio. This includes loans that had been previously classified as non-accrual by Center prior to the merger. Accordingly, this presents some challenges for analyzing quarter-to-quarter trends and asset quality. 
 For loan classifications, we believe the most appropriate comparison are pro forma combination of NARA and Center's combined figures at September 30, 2011, with BBCN's figures at year end. So our total watch-list loans which is the sum of special-mention and classified loans were $302 million at December 31 compared with the pro forma combined figure of $349.9 million at September 30. Approximately $28 million of the decline in watch list loans is attributable to improving asset quality trends. 
 Moving to non-performing loans, we have changed our definition of NPLs to include all of the following loans. Loans that are past due 90 days or more and on non-accrual status, loans that are past due 90 days or more but are on accrual status. This represents the non-performing loans acquired from Center that were marked to fair value and put on accrual status. And finally, accruing restructured loans. Using this more expansive definition, our non-performing loans were $66.2 million at December 31, compared to $51.3 million at September 30. 
 The increase in non-performing loans is primarily attributable to the addition of the NPLs from Center and the inflow of one $7.9 million commercial real estate loan. Based on the current appraisal, we established the specific reserve of $4.4 million to reflect the decline in the collateral value of that loan. On a percentage basis, NPLs were 1.77% of total loans at December 31 compared with 2.2% at the end of the prior quarter. 
 Our non-performing assets were $73.8 million at December 31 compared to $56.2 million at September 30. On a percentage basis, non-performing assets were 1.43% of total asset at December 31 compared to 1.86% at the end of the prior quarter. Our net charge-offs were $7.2 million in the fourth quarter, and of this amount, $3.8 million was related to individual note sales during the quarter. 
 We recorded a provision for loan losses of $9.1 million in the quarter. $4.4 million of this provision expense was related to the one CRE loan I mentioned earlier that migrated to non-accrual status during the fourth quarter. We also recorded $1.9 million in post-merger provision expense attributable to general valuation allowances established against $74.4 million in loans from the acquired Center portfolio. All of these loans had been marked to fair value as of November 30, and accordingly, there was no general valuation allowance against them. 
 During the month of December, these loans matured, were refinanced, and that requires that they'd be treated as new loans. As such, a general valuation allowance was established for these loans in the amount of $1.9 million. The maturation and refinancing of acquired Center loans that have no valuation allowance held against them will continue to be a driver of provision expense going forward, particularly in the first quarter. We estimate that the additional provision expense required for maturing loans could range between $2.5 million and $3.5 million. 
 At December 31, we had an allowance for loan losses of $62 million or 1.66% of total loans, and we had a 124% coverage of our total non-performing loans. And finally, due primary to the stock offering conducted during the fourth quarter, all of our capital ratios improved from levels at September 30 and are well in excess of regulatory definitions for a well capitalized institution. 
 The one number that is artificially inflated by the merger is the leverage ratio, which is reported at 19.49% at December 31, 2011. This is due to the fact that the leverage ratio utilizes the average -- the daily average balance of total assets in the denominator as opposed to the period end balances utilized in the calculation of the other capital ratios. Accordingly, the leverage ratios significantly impacted by the change in total asset balances during the quarter resulting from the merger. 
 On a pro forma basis, using daily average balance of total assets in the month of December following the completion of the merger, our leverage ratio was 13.69%, which we believe is a more accurate representation of our leverage. And now I'll turn it back to Al. Al? 
Alvin Kang: Thank you, Phil. Can you believe we cut back his speaking part. From an overall perspective, we feel pretty optimistic about 2012. As I've said before, we ended 2011 with a lot of momentum, and we see that accelerating as the new year progresses. However, it's worth reemphasizing that merger-related expenses will have a greater impact on the first 2 quarters of 2012. Also, reestablishing general valuation allowances on acquired loans, which generally accepted accounting principals requires, will affect provision expense throughout the year. 
 We are seeing some modest improvement in loan demand, and the loan pipeline remains consistent with levels we were seeing in the fourth quarter. We anticipate that the growth rate in the C&I portfolio will be higher than the commercial real estate growth rate, and that is consistent with our objectives. However, when you look at the total portfolio, it will not have the effect of changing the needle significantly in terms of concentrations. The loan production that we are anticipating should lead to solid revenue growth this year resulting from both increasing net interest income and consistent gains on sales of SBA loans. 
 We believe we'll see an increasing amount of operating leverage as we move through the year, complete the remaining steps in our integration and take out redundant expenses. With a higher revenue and higher efficiencies, we should see a nice increase in our earnings power, particularly in the second half of the year. On a final note, with the strength of our balance sheet and the internal capital we anticipate generating on a go forward basis, we also expect to repay TARP funds as quickly as possible without having to raise additional capital. 
 Now we'd be able -- we'd be happy to take any questions you might have. Operator, can you please open up the call? 
Operator: [Operator Instructions] The first question comes from the line of Aaron Deer from Sandler O'Neill & Partner. 
Aaron Deer: I guess, let me begin with a couple of the items that you mentioned, Phil. I appreciate you've given the spot rates on the margin. Just one question with respect to your guidance there, you said flat to up, and when you're saying that, are you referring to the core margin excluding the accretion impact that you saw this quarter? 
Philip Guldeman: No, that would be including it. We have a positive impact of the accretion coming in and then the negative impact of market condition, the competitive market conditions. So that would include the impact of the accretion. 
Aaron Deer: So the accelerated accretion if you will, the 14 basis points, that's inclusive? 
Philip Guldeman: Yes, that's correct. 
Aaron Deer: So is the rate of -- I guess call it early prepays that you saw on the Center portfolio, was that -- which had in the fourth quarter, or at least in the December, was that faster than you would expect going forward or is that -- because it seemed like that would be relatively high given kind of the normal pay downs that you might see in the portfolio? 
Philip Guldeman: Well you do have -- we have a lot of shorter-term loans, the trade finance loans for instance, which are paying off in the first quarter. So there is going to be a slightly more accelerated impact in the earlier quarters, and it will trail off as time goes on but, Mark, why don't you add to that if you would? 
Mark Lee: In the month of December there were about $74 million that was refinanced, of which, $26 million was the trade finance notes. These are typically 90 to 120 days sub notes to finance these import activity. These were -- as of November 30, it was on the Center book, but as of December 30 for the purchase accounting purpose, it was captured in our book, our combined book, and subject to the allowances. 
Aaron Deer: Okay, that's helpful. So I guess with that accretion then running off pretty quickly, the margin will, I mean not withstanding this early increase during the first quarter, should drift down pretty quickly after that? 
Philip Guldeman: I don't think it will drift down tremendously quickly, no. If it does, there will be some negative impact by the accretion diminishing overtime, but you have to keep in mind that the same thing that is driving the income coming in from accretion is also driving the need for provision expense. So I think the 2 of them are going to move in the same direction, although not necessarily at the exact same speed, but the faster we have refinancing and repayments, the quicker the accretion comes in, but then the quicker those loans become rewritten under BBCN standards and require a provision expense or an allowance requirement which drives a provision expense. 
Aaron Deer: Okay. And then one other question with respect to the guidance, just I'm gather that your non-interest expense guidance does include your expectations for merger targets? 
Philip Guldeman: Yes, that is correct. 
Operator: The next question comes from the line of Brett Rabatin from Sterne Agee. 
Brett Rabatin: I wanted to ask a question, I think there was a comment about the large or the loan yield excluding accretion being 5.69% for the quarter, if I heard that correctly. I was curious the comment about pricing pressure, where you're seeing new commitments extended in terms of commercial real estate and C&I from a pricing perspective? 
Bonita Lee: Yes, we do see very high pressure in terms of both CRE and C&I pricing even through the loans that we generated in the fourth quarter. 
Brett Rabatin: Okay, but can you give us some idea of where it is either relative to current portfolio yields or where it is relative to LIBOR or market rates? 
Bonita Lee: So for example for the new CRE loans that we booked in the fourth quarter, the average may come in at about 5.2 and for C&I loans the average rate is coming at around 4.8. 
Operator: The next question comes from the line of Julianna Balicka from KBW. 
Julianna Balicka: I have a couple of questions. One, on the SBA loan sale gains that you are anticipating for next year, do you have a sense of how much more ramped up to be, it feels like quarter is a little bit less sales than otherwise it would have been because of the transfer to held for investments? 
Philip Guldeman: Yes, that's correct. That $84 million that might have been available for sale did get transferred to held for investments. 
Julianna Balicka: So what kind of a run rate we should be thinking about the next year, I mean increasing from this $1 million from this quarter, I mean how we should we'd be thinking about that for our models. 
Philip Guldeman: I think we mentioned somewhere that we expect production to be -- did we give guidance on that? 
Alvin Kang: Yes, 200 for the year. 
Julianna Balicka: And percent of sales, is that like similar to this year? 
Alvin Kang: If you were to look at 2 things on a combined basis, you'd have to take into consideration that both banks had a pretty good first quarter because of a spillover of the loss of the premium and the loss of the governments charge in the end of 2010. 
Julianna Balicka: Okay. And then on the expense run rate that you were discussing, I mean that includes some merger-related charges, which we can maybe back out, but then even once you back out the charges related directly to merger expenses, when you think about your base run rate of expenses, how much of that is actually also somewhat inflated from still kind of integrating, which is not specifically an accounting assignments in merger charges or accounting, but just more like expenses that will naturally kind of runoff and kind of go away overtime in the next couple of quarter, you know what I mean? 
Philip Guldeman: I think I do, Julianna, the $4 million to $5 million in merger-related expense, most of which we expect to incur in the first 2 months, does include the cost of integrating systems, so… 
Julianna Balicka: Is there any like other inflated expenses that are not specific to merger-related, but more just like, you just got out of a merger and you're going to be kind of excess, not cost saves -- never mind. 
Alvin Kang: Well, Julianna, the cost saves will kick in more towards the second half of the year and then on into the next year. 
Operator: The next question comes from the line of Scott Valentin from FBR Capital Markets. 
Scott Valentin: Just as it pertains to, I guess, the loan origination bonds, you mentioned $200 million was the total origination, pro forma, for both companies in the entire quarter. And another account was made, you're seeing the pipeline about where it was in the fourth quarter. So should we expect this $200 million kind of run rate to persists for a quarter or 2 and then increase after that? 
Bonita Lee: This is in line with the trend that we have seen throughout 2011. So -- but I am not sure about increasing, but it should be fairly consistent given some improvement in the market that we may have a slightly higher payoff that we really didn't experienced in 2011. So I would say just to be fairly consistent. 
Scott Valentin: Okay. And then just going back to capital management, you mentioned repayment of TARP is probably top priority for use of capital. After that, I mean would buyback or a reinstatement of dividend or those 2, maybe can you prioritize those 2? 
Alvin Kang: Well I think dividends would be on the table, but also we need to see what opportunities there are for our use of capital in terms of supporting growth, so whether that's organic or acquisitive. 
Scott Valentin: Okay. And you did say, just to clarify, that you don't perceive to having to raise or issue any equity capital or debt capital to repay TARP? 
Alvin Kang: Yes, that's our current thinking. 
Operator: [Operator Instructions] The next question comes from the line of Gary Tenner from D.A. Davidson. 
Gary Tenner: Just a question on the SBA sales. It looks like the premium this quarter was down around 7% as compared to about 8.5% in the third quarter. Are you seeing some pressure there, and what are your thoughts going further? 
Alvin Kang: Doug? 
Douglas Goddard: No, I don't know that. I am just telling you where he got the 7%. It's from our -- the premium we disclosed divided by the loan sale volume. 
Alvin Kang: Yes, I'll have to get back to you on that. Unless, Bonnie, do you have? 
Bonita Lee: Yes, over a premium yield, it looks like it dropped about 70 basis points from the third quarter. But just looking at the quarter-to-quarter 2011, the variance of about 70 basis to 80 basis points up and down during the whole quarter. So we'll have to see, how it's going to roll out. Whether it's going to be a continuous pressure or not. 
Philip Guldeman: And some of that might depend upon the mix of the loans, whether we have loans that had brokers involved, and then we had a commission that we had to pay, as opposed to those which were generated internally. So I can see that as being a variable in the next premium that we record after we defer those origination expenses. 
Gary Tenner: Okay. And then on the occupancy expense line item, the increase from third quarter to fourth quarter seemed to be much more, I would have expected just from one additional month of Center. Was there anything unusual in that line item for the quarter? 
Alvin Kang: Well we had some lease termination costs and other write-downs, and also we're starting -- we're incurring some costs to improve some of the branch locations. 
Gary Tenner: Okay, great. And then finally, one last question just regarding TARP repayment, Al, you mentioned you'd like to repay it as soon as possible. Do you think regulators will require a full quarter or 2 of results from the client company or do you think there is any other sort of pushback on repayments? 
Alvin Kang: Well I think I really can't speak for the regulators. I think they are obviously going to want to see what our performance is, what our capital levels are, if we were to repay TARP, what would be our post TARP capital levels. And they make an assessment based on the perceived risk that we have. There are 3 regulators involved and 4 if you count U.S. treasury. So we have already actually initiated conversations with each of our supervisory regulators. And so we have an idea of what they are thinking. So in terms of a timeline, I think an aggressive payback would be the June 30 time. And if we were on a more conservative basis, then we would be talking about the end of the year. 
Operator: The next question comes from the line of Lana Chan from BMO Capital Markets. 
Lana Chan: Just a couple of follow-up questions, one on the expense side, I just want to come about that a different way. The $11.2 million of cost savings, what kind of run rate would you expect to be on with those cost savings by the end of this year post the systems conversions? 
Philip Guldeman: We just went through our budgeting process, and our current estimates are basically the same as the original ones that about half of that will be captured in this year, and the remaining half will be captured in the following year. 
Lana Chan: Okay, great. And second question on the balance sheet restructuring, has that helped in terms of positioning the margin or lowering the risk to the margin from a lower for longer interest rate environment, possibly through 2014? 
Philip Guldeman: Well we did it for 2 reasons, one of which was to increase our interest income, which we did to the tune of about 3 quarters of $1 million. The other was to eliminate the prepayment risk associated with a lot of the securities. Many of the Center securities were marked to market, which meant that they ended up having a higher premium associated with them. And, of course, if prepayment speeds increase, that premium would be written off more quickly. So we thought it was prudent to move into securities where we thought there was less prepayment risk and less opportunity to get hit by quicker amortization of the premium discount. 
Lana Chan: Okay. And just one more question for me. Do you think there is more opportunities to lower the cost of funds that 86 basis points now, is there are other repricing of the deposits or other borrowings that you can possibly pay down? 
Philip Guldeman: We are always looking to push that, but the market is very, very competitive, and I don't think we'll -- clearly we will not be able to achieve the kinds of reductions we did last year, that's just not going to happen. Bonnie, would you like to… 
Bonita Lee: Yes, I'll have to agree with that. 
Operator: And the next question comes from the line of Julianna Balicka from KBW. 
Julianna Balicka: I have one follow up. On the accretion income that you are expecting over the course of the next couple of years as the Center loans mature and kind of roll into the combined portfolio, what's the total dollar amount that we should be kind of mentally thinking about and spreading out overtime? 
Alvin Kang: I'll ask Doug, our Deputy CFO to -- Doug? 
Douglas Goddard: We'll be breaking out a lot of that detail when we have the 10-K. We have don't have file numbers for you. The number we booked in December was probably a pretty representative month without any unusual prepays. It's absent unusual prepays, that's a declining curve, but so I mean I would start with that $1.9 million in December and look at it declining slightly. But in terms of breaking out the total accretable, that's a fairly detailed disclosure that we're a week or 2 away from finishing. 
Philip Guldeman: That number was $2.5 million. The $1.9 million was... 
Douglas Goddard: I am sorry, $2.5 million. Yes. Thank you, Al. 
Julianna Balicka: So just to kind of highlight what you just said, that $2.5 million accretion, that's absent any unusual prepayments, so to speak, that's almost a core component of your income, because if you hadn't had value accounting, that would have just been part and parcel with net interest income? 
Philip Guldeman: Yes, it's core, but I'd guess, to remind you, it is declining slowly. 
Julianna Balicka: Right, okay. So but it's not going to be like as lumpy as some peers who have run off portfolios from the FDIC, for example, down the street? 
Philip Guldeman: Correct. 
Operator: [Operator Instructions] The next question comes from the line Jonathan Elmi from Macquarie. 
Jonathan Elmi: Just a couple of, well, primarily housekeeping items. I guess, one, in terms of TARP repayments, can you just remind us how much cash you guys have available at the holding company either directly or potentially from dividend capacity from the bank. Just trying to get a sense, I mean it sounded like you guys don't need to raise either debt or equity for repayment but just wanted to be clear on that matter? 
Alvin Kang: We don't have that number right now, but we would have to dividend out from the bank to the holding company to be able to make the TARP repayments. So that will all be in the application process and approval from the regulators. So both the bank and the holding company regulators will want to look at that and that will be part of their determination. So currently we don't have enough cash at the holding company. 
Jonathan Elmi: Okay. And then what was the Tier-1 common ratio for the fourth quarter? 
Philip Guldeman: Who can find it the fastest?. 
Alvin Kang: You're asking for the Tier-1? 
Jonathan Elmi: Yes, the Tier-1 common ratio, and we can follow-up after the fact on that. If you guys don't have it handy, it's not a big deal. My only other question which is thinking about the tax rate going forward, just for purposes of model? 
Philip Guldeman: I think we were assuming 41. 
Alvin Kang: 41%. 
Philip Guldeman: 41%. 
Operator: This concludes Q&A session for today. I would now like to turn the call back over to Mr. Al Kang, President and CEO. 
Alvin Kang: Well we thank you for joining us today. And we'll talk to you next quarter. Thank you very much. 
Operator: This concludes the presentation for today. Ladies and gentlemen, you may now disconnect. Have a wonderful day.